Operator: Thank you, everybody for joining us and welcome to SL Green Realty Corp. Second Quarter 2021 Earnings Results Conference Call. This conference call is being recorded. At this time, the company would like to remind listeners that during the call, management may make forward-looking statements. You should not rely on forward-looking statements as predictions of future events as actual results and events may differ from any forward-looking statements that management may make today. All forward-looking statements made by management on this call are based on their assumptions and beliefs as of today, additional information regarding the risks, uncertainties and other factors that could cause such differences appear in the Risk Factors and M&A section of the company's latest Form 10-K and other subsequent reports filed by the company with the Securities and Exchange Commission. Also during today's conference call, the company may discuss non-GAAP financial measures as defined by Regulation G under the Securities Act. The GAAP financial measures most directly comparable to each non-GAAP financial measure discussed and the reconciliation of the differences between each non-GAAP financial measure and the comparable GAAP financial measure can be found on both the company's website at www.slgreen.com by selecting the press release regarding the company's second quarter 2021 earnings and in our supplemental information filed with our current report on Form 8-K relating to our second quarter 2021 earnings. Before turning the call over to Marc Holliday, Chairman and Chief Executive Officer of SL Green Realty Corp., I ask that those of you participating in the Q&A portion of the call to please limit yourselves to two questions per person. Thank you. I will now turn the call over to Marc Holliday. Please go ahead, Marc.
Marc Holliday: Thank you and good afternoon, everyone. We appreciate you joining the call today and giving us an opportunity to review the second quarter earnings with you. I have some items that I'll open up with and obviously we'll then turn it over for some questions and answers to whatever is on everyone's mind today. But starting with the quarter, we accomplished quite a bit in these three months since our last call with you. We successfully completed several assets sales, significant joint venture that we closed this morning, an important fee acquisition, over 0.5 million square feet of office leasing, over 2 million shares of stock buybacks, and maybe most notably a record setting $3 billion SASB financing of One Vanderbilt. Our first half accomplishments have exceeded much of our earlier goals and objectives, and we are now very well situated to benefit from what we believe will be an even better market environment in the second half of this year. At the beginning of, and throughout the year, I shared my optimism with you for a sharply rebounding New York. And when I survey where we are mid-year, I think that optimism was well-founded. With year-to-date total return exceeding 30% through yesterday's close. Our stock has performed very well as the market is resetting its views of the New York economy after COVID-related restrictions were lifted on May 19. Average physical occupancy in SLG’s portfolio is approaching 25% as tenants are reopening their doors and more and more workers returned to the office. Business leaders are now more than ever voicing their strong support, preference and adherence to continued work-from-home model – I'm sorry, continued work-from-office model, I see a lot of raised eyebrows here, continued work-from-office model in a collaborative, communicative and physically present matter. The majority of our tenants are planning for their workers to return after Labor Day and more importantly, we do not see any material trends in hot desking or shrinking footprints. To the contrary, we see a trend of businesses availing themselves at this moment in time in the market to lock in space and make investments and improve work environments, technology and amenities as a way of competing for talent and making a compelling case to their employees for work-from-office. The space plans we're reviewing today that are submitted by tenants as they begin their build outs have decidedly more common space amenities, food and beverage offerings, collaborative meeting spaces, specialty areas, de-densified workstations, breakout rooms for privacy, and generally more thoughtful and efficient and healthy use of space. Within our portfolio, this is led to almost 1 million square feet of new and renewal office leasing at rents that are generally flat with expiring escalated rents and TI packages that are marginally higher than pre-COVID levels. We are currently tracking about 0.5 percentage point higher in occupancy than originally projected at the beginning of the year. And with over 600,000 square feet of additional leasing and pipeline, we hope to maintain outperformance through year end. Foot traffic at our properties has increased considerably in response to a strong underlying New York City business economy, calls for return to office and a slow but steady jobs recovery. There are about 6,000 to 7,000 new office jobs being created monthly, which trend is expected to continue and result in retaining pre-COVID office employment levels by mid-2022. Interestingly, the job creators to date are being led by information and technology and professional business services, while the greatest amount of leasing demand seems to be coming from the finance sector. Wall Street profits, which ended 2020 with a near record, $51 billion in profits has already posted $18 billion in profits in just the first quarter. And the big five banks reported 150% increase in second quarter earnings year-over-year, and last year was a good year for the banks. There is now essentially a war for talent among large companies and high growth businesses, a competition that New York City will win given its diverse, educated, and highly skilled workforce and deep talent pool. It should come as no surprise at New York City personal and corporate income tax collections are at all time record levels of $15 billion and $5 billion respectively. It is in this economic backdrop with record low interest rates and substantial investment capital for deployment that we believe New York City is situated to outperform other major markets on a near and long-term basis. Looking forward into the coming quarter, we've got many milestones and achievements that we are busy to be able to report positive. Moving on the next time we speak such as making ready for workers returning to the office after labor day, completion of demo and all the column reinforcement for the commencement of vertical construction next month at One Madison, the commencement of marketing, all of the residential units at 185 Broadway will begin next week. The commencement of full demolition of 760 Madison Avenue now that we just received our DOB permit to make way for the new Giorgio Armani retail boutique and condominiums. We have planned additional asset sales that we expect to achieve in the third and fourth quarters of the year with much of the proceeds going towards additional stock buybacks, consistent with the original plan and certainly, and maybe most excitedly, the grand opening of summit One Vanderbilt on October 21. It's something that we've been working on for three years and we fully expect and hope it'll become one of the top performing and most visited experiential attractions in New York City once it opens. And that now is well within our sites and looking forward to the opening of summit. So with that, I would say the third quarter financial results were all in line. Second quarter financial results were all in line with our expectations and we're happy to open it up now to take questions on any of the specifics.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Caitlin Burrows from Goldman Sachs. Your line is now open.
Caitlin Burrows: Good afternoon. You commented on the first quarter call that lease concessions had stabilized and it appears from the fine leasing data you provided that this was indeed the case in the second quarter. So just wondering if you could go through what you're seeing on the concession side, how they stabilized and are they perhaps even improving yet?
Steve Durels: Yes, I don't – certainly I don't think they've improved, but they're stabilized, we saw a stabilization starting in the fourth quarter of last year and that's carried forward through today. And it's very important that when you look at the numbers quarter-over-quarter, you really need to dig into it and understand the complexion of the deals that are signed in any one particular quarter, whether heavily weighted towards raw space or space has been retrofitted renewal deals versus new deals, but on balance, what we've seen is TIs for raw space long-term deals, generally in that 110 to 130 range, that's been consistent for the past six to nine months and free rent anywhere from 12 to 14 months typically for new deals, inclusive of construction time. And then obviously, depending on whether it's a renewal deal or shorter term duration, then those concessions can be dramatically less than what is today.
Marc Holliday: Yes. Caitlin, I just want to add to that because, I see a lot of commentary about TIs and what the brokers are saying about TIs. I would caution a couple of ways. One brokers talking up the book for their client tenants saying, TIs are going up and up, is I think you have to be very discerning when you look at that data verse what we disclose on a quarterly basis. Matt can take you through the actual TI disclosures for the quarter, but on a half a million – over 0.5 million square feet of leasing our TIs were, I think relatively efficient. And as I said in my commentary, at our marginally above pre-COVID levels for both new and renewal deals and we don't buy up rents. So you have to – TIs have to be talked about in connection with the rents. Our rents, which I also said in the commentary are marginally flat with previous escalated rents, those rents could be higher if we bought the rents up with more TI. And that's a strategy that some of our competition will do. It's not good or bad. It's just – it's not what we do. We meet the market on rents and we try and keep the TIs as efficient as possible. And you have to look at the two in tandem. So for the commentary out there to be on these vastly escalating TIs, I think you have to compare it to what we actually have done for the quarter and the year. Matt, can you sort of review again with what those numbers are?
Matt DiLiberto: So we reported last night that for the second quarter, this is all excluding the One Vanderbilt leasing since the numbers are dramatically different at One Vanderbilt. On the rest of the portfolio, TIs were $17 a foot and that compared to a significantly higher number last quarter. But to Steve's point on never look at quarter-to-quarter, because it depends on the buildings and the spaces, and also the blend between new and renewal. We had a significant portion of our leasing this quarter, renewal leasing, and the TI there was almost zero on one lease, it was zero 100,000 foot lease. On the new leases, it's $59 a foot. So it's a blend every quarter. For the year, our TIs on the comparable spaces is $40 a foot and that is pretty close to the historical average maybe marginally higher and all dependent on the blend between new and renewal and what buildings releasing it.
Caitlin Burrows: Got it. Okay. Thanks for that. And then maybe just a question on One Vanderbilt, you guys have clearly made a lot of progress there on leasing up. So just wondering if you could give some comments on the rents there and how the renting concessions are trending relative to your underwriting and versus recent quarters.
Marc Holliday: Well, it's – the trending it's basically, we're almost stabilized. We're at about 90% leased. We have a couple of leases in pipeline that we hope to get done the next one to three weeks or so, bring us over 90%. And at that point, obviously, we're going to work hard to get the full occupancy, but we'll be very selective about how we finish off essentially the top of the building, those two or three or four floors at the top, which are higher rent floors and very special floors. And we're so far ahead in terms of velocity whether that maybe a 2022 event, we'll see. I mean, hopefully sooner, but certainly we haven't planned for sooner. And the NOI and rental levels are right on top of underwriting, maybe certainly slightly ahead on velocity, probably right on top on economics. We've gone through every December, what those underlying assumptions are, what those NOI goalposts are. We're trending towards the high end of those goalposts with an expected NOI at stabilization, I think of close to $215 million, I think is the – is that $220 million?
Matt DiLiberto: Yes. $215 million – it’s between $200 million and $215 million.
Marc Holliday: Between $200 million and $215 million, it’s depending on again, which year you pick, but that's in the next two years or so. So the valuation of that stream of flow is supported a $5 billion plus appraisal and a $3 billion financing execution and where it closes out the chapter pretty much on what was just a transformational project for the company.
Caitlin Burrows: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Alex Goldfarb from Piper Sandler. Your line is now open.
Alex Goldfarb: Thank you. Good afternoon. So two questions, Steve, maybe I'll start with you. With everything that's gone on, yes, we're reading articles about delta variant and companies like Apple delaying return to office. You guys obviously are pretty active on the leasing front, but the gap of the lease rate verse occupancy has widened. In your view, in totality, when you thinks the market will have will stop the negative absorption. Do you think that's at the end of this year, do you think that's 2022, or do you think it's going to take longer than that?
Steve Durels: I mean, that's so speculative Alex, that I don't think I'm going to venture a guess. It’s still like exactly when we return. I will say this, I think the trend line, I think the general consensus from our position and supported by the brokerage community is that the first quarter of this year the market hit its bottom. And the trend line is that with increasing velocity and a strong economy and an expectation of tenants and employees, reoccupying the spaces after Labor Day that it's sort of all green lights at this point, as far as the market repairing itself. How long that process takes. That's a crystal ball I don't have. But from our position, as we sit with a portfolio that's well leased and well positioned in the marketplace I think that will outperform the market in total and certainly our experience at One Vanderbilt and what we're seeing the rest of the portfolio would support that expectation.
Alex Goldfarb: Okay. And then on the asset sale front, can you guys just give an update on the Kenneth Cole sites? I think you guys had potentially looked at that maybe for life science conversion, whether you guys do better sell it. We had heard from just conversations that perhaps the site would be – could be conceived as a last mile warehouse sites. So can you give just sort of your sense on that? Because it seems like that could be a potential source of some meaningful dollars.
Andrew Levine: Well, it isn't a life sciences corridor for the city and we're in the process of applying for ULURP up on the site which would be a significant increase to the potential square footage at that asset. And at the same time, we have a sale process that was ongoing and continues and we're evaluating offers for the asset through that sale process. So it's a small asset for us, but one that is getting a lot of focus just because it's in an area of the city that is very hot right now. And we're working on a couple of different options to try to maximize value though.
Alex Goldfarb: And Andrew, you think that the second half resolution or that spills into next year?
Andrew Levine: Well, the ULURP would be an 18 month process. So I'm not sure if it will be a resolution in the second half, a sale or joint venture, or if we decide to hold it and take it down the ULURP path and be a longer-term redevelopment asset.
Alex Goldfarb: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Michael Lewis from Truist Securities. Your line is now open.
Michael Lewis: Thank you. My first question, I just following-up on something that Alex asked about. As I talked to investors today, I heard a lot about, Apple pushing back their return to office and a lot about the delta variant. Maybe help us set the goalposts, I heard this concern that post Labor Day, maybe it becomes a bust if everybody starts pushing back. I mean, maybe help us, what's the expectation for physical occupancy post Labor Day, where you would say, things are trending in the right direction versus what that number might be that could cause some concern, kind of an expectation post Labor Day, what the office physical occupancy would look like.
Marc Holliday: I look, I don't think we're in a position and I think that's what Steve said in the last to Alex as well. We survey our tenants. We've also seen larger surveys like there was a Goldman Research survey that served at a much broader swath of tenants. And I think we can only speak to what the current expectations are. But I don't know that we can modify those expectations. So like what a delta variant may or may not pretend in the fall. There's – the consensus in the reports, which is echoed by our tenant base is very decisive, whereas 80% of workers expect to be essentially back to a full work week by no later than early 2022, starting in earnest after Labor Day. That's kind of what we've been saying for six months now. The work week was never five days a week. The work week was kind of 4 and 4.25 days a week, 4.5 maybe. And that may shrink to an in-office work week to like 4 or 4.1. There's no narrative within our portfolio where we speak to people going to 5, 4, 3 days a week at home. It really, and this is what we said on the last call is more in the nature of might there be floating work-from-home days and flexibility built into a schedule, but it doesn't reduce desks. And it doesn't more importantly reduce the recognition by the business leaders. You see, not withstanding Apple may want to push back their returned by a month, but if they push it back by a month, they push it back by a month. The commentary you're hearing from us is commentary you should think about over a period of years to come, not September versus October, because that really has no bearing on our performance or portfolio. We'll be prepared for return for workers, more robust than we have today come right after Labor Day, because that's what our tenants are telling us. Whether the delta variant is going to cause that to be delayed by a month or so, I don't know, but even if we did know, it really wouldn't change anything we're doing here at in our business. And I don't think it would change anything that tenants are doing for their five and 10-year long-term planning, because that really is evidenced by the ink on the leases, which was a million square foot of leases done in the first half, 600,000 pending, everybody's fully familiar with the delta variant. I mean, I know this, I don't think it's a secret everyone knows it's out there and we're going to take precautions against it. The incidents of COVID in our portfolio, as you know, worker have returned is almost none to negligible. So I continue to maintain the safest place to be is in healthy offices, which have policies and protocols in place, and where the spread may be taking place. It's not within the SL Green portfolio that I can tell you. And I don't think it's going to cause people not to return to offices, New York City is about 60% vaccinated. Hopefully that number goes up. I think the office population is more highly vaccinated. If you take our office as a barometer of that, it's much higher than 60%. It's higher than 80%. So we're just not in a position to comment on delta variant, but if we are in a position to say that everything we see in here leads us to believe that businesses are awaiting the opportunity to get everybody in and that the plans are to commence in September.
Andrew Levine: Michael, I would just add. We're signing leases, many leases with companies that are not back in the office yet. So are the people you're talking to saying those people are signing leases and never coming back to the office?
Marc Holliday: No, I don't think that's the case.
Andrew Levine: Okay. So we’re looking at least velocity.
Marc Holliday: Yes. So, look, if there – the tenants, I think business leaders have spoken, there's no illusion that this – that fortune 500 companies are going five days a week work-from-home. And for those that do, I think they'll competitively suffer. But that's my opinion.
Michael Lewis: That all makes sense and actually answers a couple of my questions. Maybe I'll ask, I think we're about one year out from the reset on the ground lease on 625 Madison. I know you've been asked about this from time to time. I don't know if there's any update or indication of what that rent increase would be, but also maybe the timing of when we'll know what that will be.
Andrew Levine: No update and status there, the rent reset is still at middle of next year. And the rent will be known before then, but there's no update in status there.
Marc Holliday: I would say, we're actively engaged in – with our team on the process surrounding the rent revaluation. So the process is underway. The team is hard work on it, and it is about a one-year process. That's just the way it works.
Michael Lewis: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Blaine Heck from Wells Fargo. Your line is now open.
Blaine Heck: Great. Thanks. Good afternoon. Probably from Marc or Steve I wanted to follow-up on some of the nuances and the return to office, if possible. Are you guys seeing any major difference in the pace of the increase in utilization or physical occupancy between newer higher quality buildings that had better overall office environments versus more commodity buildings that maybe weren't really updated much during the pandemic and may have less of an energetic field for lack of a better way of phrasing it?
Steve Durels: Yes, I mean, there's no doubt that tenants and their employees are gravitating towards better quality buildings with better healthier work environments, which is why you've seen in our portfolio, certainly at One Vanderbilt where we're starting to see the tenants onboard as they finished their construction, but throughout the rest of the portfolio where we've put so much effort into upgrading air filtration with MERV 14, 15 and 16 level of filtration such that it produces, the healthiest work environment possible and enhance cleaning and other protocols that we've implemented. But on – as it's – as the months have gone by essentially, we've seen almost a 1% increase in physical occupancy, as each week goes by. Last week, we were at 22% occupied throughout the portfolio. And two, three months ago we were as low as 11%. So it's – there's a wave of tenants that are coming back and their employees are coming back. But clearly, that favor of healthy – the healthier buildings and their employees want to see it and feel it.
Blaine Heck: Great. That’s helpful, Steve, and maybe one more quick one for you. I know it's still somewhat early in your process, but can you give us any color on the interest from prospective tenants at One Madison?
Marc Holliday: I would say that for where we stand in the deal, in the development, which is three plus years ahead of completion, relative to that same point in time on One Vanderbilt, the interest level, the early interest level is far higher. Large tenants are the ones that are moving fairly decisively within, just a small selective band, I think of competitive properties that can meet their needs for end of 2023, beginning of 2024 move in. Obviously, we have 1.4 million square feet to offer, but the beauty of One Madison is got we've sort of building within a building, we've got a 93,000 square foot podium floors that are relatively more affordably priced, and then we've got state-of-the-art even more efficient tower floors at 35,000 feet that appeal towards a different segment of the market. So we're seeing activity on both right now. We're seeing activity, I would say, in a volume ahead of what we would have expected from large tenants over three years out from completion. I would say that some of the interest is not is fairly serious interest in terms of people taking hard looks and even some paper being passed back and forth. So with that said, we have no anticipation of signing a lease in 2021 that was not in our guidance. We really, I think on the numbers we had put out there in December had talked about mid second half of 2022. So I would say that where we sit today, still feel very good about that guidance. We'll obviously try and exceed it. And based – the most importantly, based on the early feedback, I think we have the right product, it's the right product in the right area with the right amenity mix that I believe strongly is going to be leased and is going to be at lease consistent with our projections. So the early feedback is good. And I'd say where marginally ahead of where we expect to be, but I wouldn't think that's going to translate into anything announce able in 2021 nor did we expect it to.
Blaine Heck: Great. Thanks, Marc.
Operator: Thank you. Our next question comes from the line of Manny Korchman from Citi. Your line is now open.
Manny Korchman: Good afternoon, everyone. I don't know who this was for, maybe Marc, but on the sale of 220 East 42nd, did anything change in the market that made you want to JV that rather than sell it outright as your plan to few months ago?
Marc Holliday: Andrew, why don't you – I mean, that was entirely, I was resolved to own it long-term. So Andrew, why don't you sort of the evolution of how we got to where we got to, which was again, an above average above expected execution.
Andrew Levine: I think we were able to achieve a price that was equivalent to the pre-COVID price, if you adjust for the deposit that we retained on the sale. And we're pretty optimistic about the prospects for the building, because it has a great base of very long-term lease space and some low rent rolling space that I would say, our view for that the prospects for that space has gotten more positive over the last couple of years. So whereas it was a price we were willing to sell. We're quite happy to hold 50% of the building. We got great financing done last April, May on the asset. And we just decided there was upside in the rent roll that we wanted to continue mining.
Marc Holliday: I think it's another great data point about the global appetite for well-positioned Midtown real estate to sizable deal. I think it's reflective of this disconnect between private market that really is looking for yield. Looking for high credit yield, which obviously the news building for its – As Andrew said very well financed. And in this market, there seems to be no shortage of capital that wants to deploy into deals like that. So, good data point for the market, a good data point for our portfolio. And I wouldn't take it in isolation. I would combine that with the success we achieved at 1,200 a foot on 635, 641, 6 and the deal we did at the end of last year at 410 10th, which was nearly a billion dollars for developing a newly completed asset and plethora of other deals that we've can’t started and finished in a post-COVID world.
Manny Korchman: Thanks for that additional color Marc. Just to dig into your point on capital out there for a second. Do you think that there's as big an appetite for taking out, whether it be a larger single asset or a larger portfolio of assets? Or do you really think that the capital sources today are focused on sort of more swallow able single asset deals that don't take that larger commitment of capital?
Marc Holliday: Well, just to put some meat on the bones, larger, smaller, it's – I think the largest investments for single assets, maybe small portfolios is in that check range of $500 million, I think is a sweet spot for large deals. I think if it approaches $1 billion, you start to thin out very rapidly as to who can write that check. And it's not commentary, I don't think on the attractiveness of the opportunity, or maybe even the desire, it's just that $1 billion plus checks are railroad to come by and anything between $500 million and $1 billion will normally take care of even the largest of New York City assets on an outright purchase or JV, and to aggregate up buildings, to make a portfolio deal you can do it. And for people who can write that check, I think it’s enormous opportunity. There’s just less people and less groups that can handle it at those levels.
Manny Korchman: Thanks for that.
Operator: Thank you. Our next question comes from the line of Frank Lee from BMO. Your line is now open.
Frank Lee: Hi. Good afternoon, everyone. First question is for Steve. Can you provide any additional color on the 600,000 leasing pipeline? What’s the breakdown between new versus renewal? What types of tenants are in pipeline and the variable to provide the average lease term?
Steve Durels: So we have 355,000 square feet of the leases in execution or in negotiation and another 264,000 square feet of term sheets, which we think have a high degree of probability of conversion over to a lease. And of the leases that are out there’s roughly 300,000 square feet of new tenants and about 30,000 square feet of – 35,000 square feet of renewal tenants. And then on the term sheets it’s roughly 200,000 square feet of new and 68,000 square feet of renewal tenants. And then as far as the complexion of the tenants with the leases that are out for signature 39% of the square footage is our legal tenants, legal law firms, 29% are financial service tenants, and 17% are tech tenants, which by and large mirrors what we’ve seen in leasing velocity year-to-date. A little flip flop on the legal versus financial services, whereas financial services has clearly led the market to date. But in our pipeline, we’ve got one larger law firm deal that skews that down a little bit. But just to broaden the answer a little bit, I’d say, where we’re seeing most activity in the marketplace is financial services throughout the portfolio. We have a disproportionate number of leases, maybe not total square footage, but disproportionate number of leases that are out with financial service tenants.
Frank Lee: Okay. Thanks. So it sounds like the majority of the leasing pipeline is coming from new leases. Do you have a sense of what’s driving this? Are these tenants looking to upgrade space or just simply looking to relocate?
Steve Durels: Yes. I think you’ve seen – across the market, you’ve seen a pivot by tenants that have sort of moved away from the short-term renewals, not to say that there aren’t short-term renewals, but there’s a lot more activity with tenants that are making the long-term newbies commitments as they get back to business as usual looking to create new work environments, restock, change the densification of how they operate their companies. And tenants are going more on the offensive where they’re not just hibernating in place, scared of the world, but now that they’re getting past COVID, they’re getting back to business as usual and that philosophy is picking up and that’s why we’re seeing more relocations.
Frank Lee: Okay. Great. Thank you.
Operator: Thank you. Our next question comes from the line of Steve Sakwa from Evercore ISI. Your line is now open.
Steve Sakwa: Thanks. Marc, I was just wondering if you could comment, I know leasing spreads bounce around quarter-to-quarter and same-store NOI is choppy and can have some unusual comparisons. But your leasing spreads year-to-date are only down maybe 1% or 2%. I know your expectation was down 5% to 10% at the Investor Day, and same-store NOI growth is a little weaker than you had projected. So do you have any comments about the back half on either of those trends and anything that may be playing out as expected or better than you thought?
Marc Holliday: Well, I mean, again, we don’t – I look at everything over the course of a year. I mean, we budget based on the course of a year, we do a reforecast, which we just finished up based on the balance of the year. And on that basis we feel like most of our goals and objectives, we are either on track or maybe hope to exceed. I mean there’s 18 of them. So, I’m just – in general, they’re obviously going to be ones that we stretch, we may or may not hit or may be miss by a little. But I’d say by and large we’re on track or ahead. I wouldn’t – whether we’re a couple of points above or below. In July we have our numbers run out through the end of the year, I think mark-to-market, we’re pretty much on track with that or maybe slightly ahead of our projections as with velocity. Matt can address the same-store.
Matt DiLiberto: Yes, same-store, like the other metrics we are on a full year basis on our expectations or maybe slightly ahead. You got to remember the first half of this year is comping to mostly a pre-COVID comp in the first six months of last year, whereas the last six months will comp to post-COVID last six months of last year. So the comps will be better and that’ll trend us what looks to be off from our expectations in the first half of a year that’ll put us back on our expectations for the back half of the year.
Marc Holliday: The other thing I would say, and I alluded to it earlier, you can’t really just look at the rent because you got to take that capital into play. I think we’re probably ahead on net effective relative to budget because our capital in Q2 was down. We sit here talking about, well, is TI up 30%, 20%, 10%, our TIs were down in the second quarter, now they may be up again in the third and fourth. And we feel like for the full year we’re on or ahead of schedule relative to what our TI capital budget was meaning within our TI capital budget. A little hard to do quarter-to-quarter, but we certainly are not experiencing the trauma on concessions that I read about in all the tenant broker reports. And I just think you have taken a little bit of a grain of salt.
Steve Sakwa: Okay. Thanks. Second question, you alluded to bringing more assets to market in the second half of the year. Can you just maybe help frame out sort of the potential size or bucket of asset sales and then, the corollary to that is obviously share buybacks, I think were much stronger in Q2 than certainly we thought, and we thought it’d be a little more backend loaded. But how do we think about asset sales back half of the year and share buybacks back half after the year?
Andrew Levine: Well, I mean, I would say, we’re reviewing our business plan based on the success that we’ve had with the assets we’ve rolled out to date and the fact that the appetite out there is voracious for New York City assets on a relatively quick closing basis. So it’s – we’re re-examining the art of the possible for the second half, and we definitely will be back active in the capital markets. Just can’t dimension exactly how large at this time. Share buybacks, Matt can speak to, but…
Matt DiLiberto: Yes. Consistent with what you’ve seen us do in the first half of the year. The bias is to use proceeds from asset sales for share purchases. We only do share buybacks with the proceeds from asset sales. But we have taken the opportunity to pay down debt, to keep the leverage levels in line with some of the asset sales too. So to Andrew’s point on dimensioning it, depending on what the dimension is and what that does to the balance sheet, again, our bias is to buy back stock with the proceeds, unless we need to pay down debt to manage that leverage level.
Steve Sakwa: That’s it. Thanks.
Operator: Thank you. Our next question comes from the line of Jamie Feldman from Bank of America. Your line is now open.
Jamie Feldman: Thank you. Steve, I was hoping to get a little bit more granular on the leasing pipeline or at least kind of the segments of demand. I mean, I think everything we’ve seen is – the most active tenants in the market, and certainly you guys have had success at One Vanderbilt have been that kind of higher end boutique type financial services law firm. As people are thinking about getting back to the office, how should we think about that next group kind of maybe larger tenants, but not quite as high end? What are they looking for? Is it still a focus around Grand Central? Do you think that they’re going to look at other parts of the market? I’m just curious what – like kind of at what stage 2s going to look like in terms of New York leasing picking up after the pandemic?
Steve Durels: Well, I think maybe a couple other soundbites that round off the color commentary on leasing other than the very specific percentages I gave on the last answer. I think we’re seeing certainly more focus on transit centric located buildings, certainly more focused on buildings that are amenitized and focus on buildings that have a healthier workplace environment. The good news in all of that is by comparison to the first half of the year, we’re starting to see more tours proposals, and leases in negotiation on the kind of smaller tenants in the market. What we saw in the first half of the year were a lot of activity on the premier buildings, the Class A product, but now we’re starting to see life for the smaller guys and the more commodity buildings. So in our portfolio, if you use Graybar is a good example of that. We’ve got a lot more leasing activity in that building than we have in the first half of the year, which I think, one that’s in prior market disruptions, it was always a small guys that stayed busy, the big guys put out of the market. This is the first time in my career where I remember that the big guys were the ones driving the market and the smaller guys were on the sidelines. But I think as we’re getting past COVID, those smaller commodity guys are now starting to awaken to come back into the market. And we’re certainly seeing it in our Grand Central portfolio in some of the more commodity type of product, like a Graybar or 711 Third Avenue.
Jamie Feldman: Okay. Thank you. And then, now that we know who won the primary for mayor any thoughts on what Eric Adams would mean for New York real estate, some of the concerns around crime maybe costs – operating costs for landlords, any early read?
Marc Holliday: Well, there’s still a general election to go in November. So Eric looks very well positioned to become next mayor. But I think, when you speak to him, he still has work to do before that’s mission accomplished. And I think that in a more broad context, looking at increased voter turnout, there was like an extra 150,000 voters than usual in a city that doesn’t have high voter turnout to begin with. I think demonstrated the positive results of activism within the resident and business community to get people, to get out the vote, to make sure that all voices were heard and not just a segment of the voices heard. And the top two leading candidates were both considered, moderate candidates, candidates who believed in safety and affordable housing, but in working with businesses to create an environment that is – that will be favorable for the next four years. And I think that was a major positive step forward. And I think Eric’s going to do a great job if he – if and when he becomes mayor. And I think he – we’ve seen him in the past, worked through difficult land use issues and other issues in his Borough in Brooklyn. And we have respect for what he brings to the table in a total package of being able to work with the policing and security community, the business community, the minority community, the homeless and people who are in the – need the affordable rent segment of the market. And we’re looking forward to continuing to have good relations with City Hall and do our part more than anything else. We want to do our part to help improve transportation, infrastructure, the built environment, contribute towards affordable housing like we did with Sky and 185 Broadway. And we’ll do everything possible to support him and his administration just like we have with Mayor de Blasio and his administration.
Jamie Feldman: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Craig Mailman from KeyBanc Capital Markets. Your line is now open.
Craig Mailman: Hey, everyone. I know, lease terms have been kind of a long gaining from the contraction you saw earlier in the pandemic. Are any tenants looking for more flexibility in terms of early outs in some of the longer leases they’re taking? Is that something that’s taking hold or not a conversation?
Steve Durels: Whenever you’ve got a market where the tenants feel that they’ve got more leverage than they had previously, then one of the things they go for as part of their overall negotiations is greater flexibility. I don’t think that’s driven by COVID, post-COVID, state of the economy, a different perspective on the real estate market. It’s just that tenants come to the table asking for a lot of different components on their transactions. So yes, we’re seeing requests for more flexibility whether it’s to shed space midterm or cancel early. But having said, the number of times that we actually acquiesced to it and give that kind of flexibility is still very, very rare. It’s not a foregone conclusion that just because you asked for it, you’re going to get it.
Craig Mailman: Okay. That’s helpful. And then just on the One Vande financing, after you guys repaid the $1.75 billion that you had out, what – can you just talk about the excess proceeds? How much of that needs to be kind of retained within the JV for anything laid out in the CMBS stocks versus – and how much, if any is kind of being returned to partners as excess proceeds or return of capital?
Matt DiLiberto: Sure. It’s Matt. So, at closing we had about $1.55 billion out on the construction financing, we repaid that. And then after reserves first costs and then predominantly reserves for executed leasing TIs free rent, that type of thing $650 million was repatriated back to SL Green, which then went to all pay down debt.
Craig Mailman: Okay, great. Thank you.
Operator: Thank you. Our next question comes from the line of Anthony Paolone from JPMorgan. Your line is now open.
Anthony Paolone: Great. Thanks. So I guess, for maybe Marc or Andrew. With the valuation you got on OVA where do you think that puts land values and what does that do for your appetite to pursue other potential large-scale projects or even tear downs for that matter?
Andrew Levine: Well, there are some other sites trading around Grand Central or in the market at least. And I would say that’s indicating a strong land values in the Grand Central area. Just specific to Grand Central, we’re seeing – I think the biggest impact on us is really One Madison where we’re very confident with the decision we made with that asset and think we have a chance to replicate or exceed the success we’ve had on One Vanderbilt with One Madison. So that’s where it sort of impacts us the most, I think, more so than taking on another large scale development in this immediate area, because we sort of have one ongoing at One Madison.
Anthony Paolone: Okay. And then just my second one is maybe for Matt. Can you give us any guideposts or any additional color as we think about FFO from 2Q to 3Q with – and I think the Latham & Watkins, I don’t know if they’re moving out or not, or if they’re holding over and just how to think about that as we roll the numbers.
Matt DiLiberto: Sure. Yes, Latham & Watkin left in June – ended June was the expiration of their lease. So they’re out that asset will move into redevelopment phase now for the balance of the year. FFO is somewhat a function, not just of NOI, but of the other things that we have in the business plan. So depending on the timing of things, the third quarter could be equal to or slightly below the second quarter. And then fourth quarter pops up or the inverse of that. We have some things in the pipe that are timing dependent and whether or not they happen in third or fourth, we’re indifferent to this. As I said earlier, we’re given annual guidance. We don’t look at stuff on a quarterly basis, as long as we’re within our annual guidance. And we are squarely within our range as we sit now.
Steve Durels: Just to add to that, Latham & Watkins when we took control of the building, we knew that they were – they had already signed the lease to move out of the building. So it was no surprise to us. So when we bought the building, we bought it with the intention to do a redevelopment plan and that plan has now been fully designed and it is in the early stages of beginning to execute.
Anthony Paolone: Okay. Thanks.
Operator: Thank you. Our next question comes from the line of Vikram Malhotra from Morgan Stanley. Your line is now open.
Vikram Malhotra: Thanks so much. Matt, maybe just sticking with you on not necessarily the FFO, but from One Vanderbilt, can you just clarify or give us the sort of GAAP contribution you baked in for each quarter, the third and fourth quarter? And then what’s your expectation for the summit in the fourth quarter?
Matt DiLiberto: So in sticking with the commentary so far, I won’t give quarterly guidance. But I will stick with my annual number of low 30s GAAP NOI contribution from One Vanderbilt for 2021. Our summit numbers, we’re open in October 21st. We have modeled in very conservative ramp. So the contribution for the back half of the year is very light.
Vikram Malhotra: Okay. That’s helpful. And then just on, in the street retail portfolio, can you just clarify or give us more color on 85 Fifth Avenue? I think it showed 100% occupied the prior quarter, but not this quarter. Can you just clarify what went on there?
Matt DiLiberto: It’s under lease.
Steve Durels: It shouldn’t it be the opposite.
Andrew Levine: No.
Matt DiLiberto: Did you say 100% occupied or a 100% vacant?
Vikram Malhotra: No, it was vacant this quarter. So last quarter was fully occupied?
Steve Durels: We signed the lease yesterday for the space, all of it, a long-term lease. So the next quarter it will reflect occupied again and [indiscernible] lease expired. It’s May 11 and we signed a lease.
Matt DiLiberto: Vikram, you’ve taken wind out of the sales for third quarter, forcing us to – forcing us to go. We we just signed a full building lease on that a deal yesterday. You got to leave something on the bones for Q3, my friend.
Vikram Malhotra: So the street retails fully leased back – leased back up.
Matt DiLiberto: Leased again, no worries.
Vikram Malhotra: Okay. Any comments or any color on the economics relative to where it was prior?
Marc Holliday: We’ll talk about it more, you’re using your third question of two. We’ll talk about it more when we reveal the deal.
Vikram Malhotra: Okay. Sounds good. So I just have – I get that color offline. Just one sort of clarification. You talked a lot about capital obviously buybacks in terms of capital deployment, all the developments that you’re doing. But just in time with your commentary about New York coming back near-term, long-term, one of your peers formed a big JV to focus on their markets, but also look at more value add type development or type acquisitions. I’m just wondering your appetite from here on, on focusing on something like that, or value add buildings in terms of acquisitions, but also just given the debt markets growing the DPE book from here.
Andrew Levine: Well, we are very actively pursuing desirous of not just value add, full on ground up development opportunities. We have value add opportunities. We’ve acted on recently like 885 Third, which is I think a great example of that and now, well underway. 750 Third’s are redeveloped within the portfolio. We have other deals like that in pipeline. We closed a DPE deal in Q2. We just are closing, we have other pipeline for Q3. We expect to close and be able to discuss on the next call. So, I mean, we’re very much in business. We’ve got like seven active development deals and redevelopment deals going on right now. We have fairly active pipeline of opportunity, but disproportionately, just given the extreme divergence of value and stock price, we’ve decided to allocate most free cash flow towards the stock buyback and we’ll continue to do so.
Vikram Malhotra: Okay. Fair enough. Thanks so much.
Operator: Thank you. Our next question comes from the line of Nick Yulico from Scotiabank. Your line is now open.
Nick Yulico: Thanks. Hi, everyone. Page 38 on the lease expiration, I just had a question there. If you look last quarter, it was talking about being 450,000 square feet of expirations in the second quarter is still listed over 400,000 in this quarter. And so I’m just trying to understand what – it looks like you have now additional month to month tenants in the portfolio. And maybe you can provide some clarity on that and how much of this is office versus retail.
Matt DiLiberto: Well, you’re in the weeds on that one, Nick. I will say there’s hold over tenants from quarter to quarter, so that’ll probably contribute to it as to the complexion of it. I don’t know that one off the top of my head, so I can research it further and get back to you offline.
Nick Yulico: Okay, appreciate that. Thanks. I guess my other question is just – as we think about the leasing activity, that’s in the pipeline that Steve was talking about earlier, and then we relate that back to Page 29 in the supplement, you do give the occupied number for same store versus the least number. And that that spread is converged closure, meaning that you tend to have a higher lease number than an occupied number you still do, but it’s not as big of a spread. I mean, I’m just trying to think about that leasing that’s in the pipeline, what that means in terms of your lease number in the same store portfolio, is that could be additive to that.
Matt DiLiberto: I think we addressed that earlier in saying, we are still comfortable with the goals and objectives we put out there including occupancy. I would hope to exceed our goal, which was 93% by the end of the year.
Nick Yulico: Okay. Thanks everyone.
Operator: Thank you. At this time, I am showing no further questions. I would like to turn the call back over to Marc Holliday for closing remarks.
Marc Holliday: Okay. Well, appreciate the opportunity for those still on to discuss all that we accomplished in Q2, great three months. We’ll be working hard these next three and look forward to speaking to you again.
Operator: This concludes today’s conference call. Thanks for participating. You may now disconnect.